Operator: Good morning, ladies and gentlemen and welcome to the Neptune Wellness Solutions Inc. Fourth Quarter and Fiscal 2022 Earnings Conference Call.  Also note that the call is being recorded on Monday, July 11, 2022. And I would like to turn the conference over to Morry Brown, Vice President, Investor Relations for Neptune Wellness Solutions. Please go ahead, sir.
Morry Brown: Thank you, operator and hello everyone. Thank you for joining us today for the Neptune Wellness Solutionsâ fourth quarter and fiscal 2022 earnings conference call. With me today are Michael Cammarata, President and Chief Executive Officer; and Randy Weaver, Interim Chief Financial Officer. All amounts discussed today are in U.S. dollars and our remarks may contain forward-looking information representing our expectations as of today and maybe subject to change. Todayâs conference call contains non-GAAP measures, specifically adjusted EBITDA to provide investors with the supplemental measure of our operating performance and thus highlight trends in our core business that may not otherwise be apparent when relying solely on GAAP financial measures. Management also uses adjusted EBITDA in order to facilitate operating performance comparisons from period to period, prepare annual operating budgets and assess our ability to meet our capital expenditure and working capital requirements. Adjusted EBITDA is not a recognized, defined or standardized measure under GAAP. Our definition of adjusted EBITDA will likely differ from that used by other companies, including our peers, and therefore, comparability maybe limited. Non-GAAP measures should not be considered as a substitute for or in isolation from measures prepared in accordance with GAAP. Investors are encouraged to review our financial statements and disclosures in their entirety and are cautioned not to put undue reliance on non-GAAP measures and view them in conjunction with the most comparable GAAP financial measures. We do not undertake any obligation to update any forward-looking statement, except as maybe required by Canadian and U.S. securities laws. Assumptions were made in preparing these forward-looking statements, which are subject to risks as laid out in our public filings found on SEDAR and EDGAR. I will now turn the call over to Michael.
Michael Cammarata: Thank you, Morry and hello everyone. This morning, we reported our fiscal fourth quarter and the full 2022 results for the period ended March 31, 2022. Before providing further details related to our financial and operational highlights for the 2022 fiscal year our fourth quarter, I would like to take a moment to discuss the strategic decisions management and the Board have recently made. Taking into account all factors, including the current macroeconomic environment conditions, we believe these decisions are in the best interest of the company and its shareholders. In early June, we announced the launch of our strategic review plan, which centers on Neptune becoming a pure-play consumer packaged goods company. As part of that plan, we intended to reduce costs, refine the current focus of the company and ultimately put us on an accelerated path to profitability and enhance shareholder value. The strategic plan has culminated in two primary actions so far. One, the planned divestiture of our cannabis business in Canada and two, the realignment of our focus and operational resources towards our portfolio of good for you and good for the planet consumer-branded products that have large addressable markets and categories where we are seeing the most demand and therefore the highest growth potential. The intended sale of the cannabis business would include the Mood Ring and PanHash brands along with the Sherbrooke facility in Quebec, which was recently appraised at $21 million. In order to accelerate our cost savings, we are focusing on winding up our cannabis operation. This planned action is intended to provide significant cost savings and help maximize operational efficiencies, resulting in a 50% reduction in the workforce and over 30% reduction of the total payroll cost and an estimated annual savings of $4.4 million. We have also enacted additional initial cost cuts at the corporate level. This includes reductions in the corporate headcount and external consultants. Headcount at the corporate level has been reduced by 16%, which we expect to result in a savings of $1.2 million in payroll costs. We have reopened our strategic review and we will continue to look for synergies and additional savings across our corporate structure and business units. This plan builds on our initial strategic review that took place in the fall of 2021 and is the final step of our transition to a pure-play, purpose-driven, consumer packaged goods company. It simplifies our overall structure enables us to get hyper focused on the areas of the businesses we believe are the best positioned for profitability and growth. In total, since the beginning, the strategic review last fall, we have announced cost cuts of approximately $16 million. This includes $5.6 million of payroll cost reductions for the cannabis and corporate announced in the last month. These are difficult decisions when they involve valued employees. However, we believe this is the prudent decision to make to ensure Neptune is financially positioned to achieve its long-term goals and increase shareholder value. Before I move on to our operational highlights, Iâd like to invite Julie Phillips, Chair of our Board, to say a few words about the recent appointments we have made to our Board and executive team.
Julie Phillips: Thank you, Michael and hello everyone. As Michael shared, we have made two strategic appointments to the leadership of Neptune over the last several weeks. First, at post quarter end, we welcomed Philip Sanford to the board as Audit Chair. Philip holds deep financial and commercial advisory experience as well as first-hand knowledge of Neptuneâs brands as a former Chairman of the Board of Sprout Organics. The addition of Phil further bolsters the Boardâs expertise for the next stage of our growth path and we are already seeing the positive impact of this guidance as we navigate this next stage of growth for Neptune. In addition, to further support the execution of our strategic shift, we were very pleased to recently announce the appointment of Raymond Silcock as Neptuneâs Chief Financial Officer, which will take effect on July 25, 2022. Ray brings more than 25 years of CFO experience across both public and private companies, particularly in the area of CPG. He has a strong track record of leading companies through strategic transitions and is well positioned to achieve further cost efficiencies and help drive the performance of Neptune for long-term success and growth. On behalf of the Board and the management team, Iâd like to say a warm welcome to Ray and offer him the opportunity to say a few words.
Raymond Silcock: Thank you for those kind words, Julie and good morning again, everyone. I am delighted to be joining the Neptune team at this pivotal moment in the companyâs history and look forward to working closely with the entire team once I have become the CFO. I also expect that once on board, I will be speaking to many of you on this call as well. So with that, I will turn the call back to Michael Cammarata. Michael?
Michael Cammarata: Thank you, Ray and welcome to the team. Turning to our operational highlights, we have made significant progress on our path to becoming a CPG company with growth year-over-year and on a trajectory to profitability, which our Board and management team remain laser-focused on achieving. During Q4, we continued to make significant strides in positioning our core business areas for continued growth including: one, Sprout Organics, our primary baby and toddler food brand; two, Biodroga, our B2B personal care and beauty brand. Starting with our organic food and beverages, the fourth quarter was very exciting for our Sprouts brand, with our focus being on growth, margin and innovation. Importantly, the May Nielsen data shows that Sproutsâ outperforming the category across the board for all time periods measured from the last 4 weeks to the full 52 weeks. These share gains illustrate the power of our brand and our value proposition in the category, along with the execution of the team at Sprouts, who have worked hard to maintain in-stocks during a challenging period for the supply chain. I want to personally thank each member of the Sprouts team for their hard work during a difficult time period. We expect this to translate into a record quarter for Sprouts in Q1, which should be the highest revenue quarter Sprouts has ever delivered. We expect gross margins at Sprouts to increase to 22% by 2024, mainly driven by four key items: one, improvement of the distribution and warehousing costs as a result of the movement to a full turnkey model as well as improved logistic cost management; two, the full year of price increase; three, improve product mix; four, the realization of certain volume discounts with the level of sales increasing. With this infrastructure in place for strong growth in the baby food categories, we believe we can now confidently expand into the up-aged meal market, where the data shows gross profit margins in the 30% range. According to Nielsen data, sales from Sprout and their organic toddler meals have grown on an accelerated rate to September 2020, outpacing the growth for the organic baby food category as a whole. Up-aged meals represent a $3.6 billion retail category more than double the size of the baby food market. Our expansion efforts in this sector in parallel with our cost effective strategy to scale will allow our products to disrupt the organic food market at a higher level without decreasing our cash runway. Sprout was pleased to launch a first-ever co-branded product line of childrenâs food with CoComelon. In Walmart nationwide with Sprouts and CoComelon products released on Walmart.com in March and a rollout to approximately 900 Walmart stores already achieved. With this expansion into Walmart, Sprouts Organics is now available in over 90% of the organic baby food market. Sprouts Organics and CoComelon products are also available on direct-to-consumer on the Sprouts Organics website and on Amazon. Their initial revenue impact from the Walmart launch began hitting the P&L in the fiscal first quarter of 2023 and we expect to build into the coming quarters. Following the fiscal fourth quarter, we also announced the launch of co-branded Sprouts and CoComelon organic snack bars for toddlers available online and at select retailers nationwide. We will also be adding displays featuring the CoComelon co-branded products at 2,500 Walmart doors in August and September. CoComelon is the number one rated kids entertainment and educational show in the world and the partnership allows Sprouts and CoComelon to educate, promote food with real organic ingredients. Their product lines released are showing strong sell-through with sales surpassing the initial projections across several SKUs and performing 151% over Walmartâs expectations. It was great to add additional products to our offering and further increase our opportunity for revenue growth. In Q4, we were not immune to supply chain challenges being experienced across the industry, which has caused shipping costs to remain inflated and some delays with the product movement. Despite this, Sprouts managed to maintain strong fill rates. Consistent with sector trends, we were also able to partially offset increased shipping costs by some price increases across our product portfolio. The international rollout of Sprouts in Canada into Sobeys, Metro and London Drugstores has also progressed with positive initial reads from these stores. Moving to personal care and beauty. During the fourth quarter, we have made significant progress at Biodroga, our B2B personal care and beauty brand. We have simplified Biodroga supply chain to remove a middle distribution step, allowing Biodroga to take more ownership and control within its process and mitigate some of the delays. As a result of cost saving measures coming out of our strategic review, Biodroga has achieved decreased spend in Q4 compared to the prior quarters. Biodroga has also brought more soft gel and liquid manufacturing capacity into the network, increasing our capabilities and further reducing our costs. It is important to note, however, that the supply chain delays will not result in lost revenue, but that it has pushed some of the revenue in Q1. We have already seen this revenue come in during Q1, resulting in a meaningful revenue acceleration versus our reported Q4 revenue and our best revenue quarter at Biodroga in over 2 years. In addition, Biodrogaâs agile network of co-manufacturers allows for flexibility so that we are seen by our customers as one of the few brands that still delivers within 90 days. Sales leads achieved from tradeshows attended in prior quarters are starting to translate into sales. The momentum from the pipeline growth achieved in the prior quarters flowed through to Q4 and is resulting in an increased number of customers as well as expanded product lines for existing customers. Biodroga will also be launching new products in Q1 with its partners to continue to grow our portfolio of offerings. We expect this increase in the pipeline activity to drive revenue growth in the fiscal 2023. Biodroga has been focused on growing its industry presence and undertaking clinical studies to fortify the credentials of our underlying MaxSimil technology. For example, our recent study on MaxSimilâs K2 showed MaxSimil increase the bioavailability of vitamin K2 7x to 11x compared to standard fish oil. These positive results enable us to further differentiate and communicate about our MaxSimil technology and its unmatched effectiveness and increasing absorption. Biodroga is also expanding its current offering into traditional products, providing dedicated lines for Pacific customer segment. As part of this overall strategy, Biodroga has recently launched a product portfolio of Kids products including the launch of new supplement products formulated for kids. Moving to Forest Remedies. In March, we announced the launch of Forest Remedies multi-Omega supplement made with Ahiflower oil and Sprouts Farmers Market stores nationwide. Ahiflower oil is a plant-based vegan alternative to fish oil, which has proven to be up to 4x more effective than flaxseed oil. The product has been recognized as a finalist for the product of the year for the NutraIngredients-USA Awards in the omega-3 category. The initial feedback from the rollout in Sprouts Farmers Market is positive, and we expect this to flow through to revenue growth in the fiscal 2023. In addition, we have recently launched Forest Remedies into 800 CBS stores and expect to see healthy growth from this launch. This is another example of how Neptune is rolling out Forest Remedies across both smaller, regional and larger national retailers. With that, I will now turn over the call to Randy to discuss the financial results in more detail.
Randy Weaver: Thank you, Michael, and hello, everyone. Before I recap the fourth quarter, I wanted to note a couple of changes effective March 31, 2022. Weâve changed our reporting currency from Canadian dollars to U.S. dollars, and we are reporting in GAAP instead of our IFRS nowadays. The change in reporting currency and GAAP has been applied retrospectively so that all the amounts in the consolidated financial statements that are included in this filing and the accompanying notes are expressed in U.S. dollars in GAAP. For comparative purposes, historical consolidated financial statements are recast in dollars by translating assets and liabilities at the closing exchange rate in effect at the end of the respective periods. Expenses and cash flows used the average exchange rate in effect for the respective period, and equity transactions are converted at historical change rates. There are a number of translation gains and losses. Those are included as part of the cumulative for in currency translation adjustment and is reported as a component of shareholdersâ equity under accumulated other comprehensive loss. Turning now to the fiscal 2022 fourth quarter results. Neptune reported fourth quarter 2022 revenue of $11.5 million, a slight decrease of $3.1 million from our third quarter revenue of $14.7 million. There were some timing factors that impacted revenue, particularly at Biodroga due to industry-wide supplying chain issues, which we are all experiencing in virtually every industry. Weâve seen those orders translate to revenue in Q1 2023, which has been very strong. In cannabis, we had timing of shipment issues and supply chain issues, particularly with our capsules, which impacted revenue in that quarter. For the 12-month period ended March 31, 2022, our consolidated revenues totaled $48.8 million. Thatâs an increase of $13.4 million or 38% and compared to the $35.4 million revenues in fiscal 2021. As Michael has spoken to, weâve made significant strides over the past year in our transition to a refocused CPG company. We expect the refined growth strategy that weâve adopted to drive growth, higher margins and improve our profitability. Sprout Organics, our organic baby food brand reported revenue of $26.2 million for the year. Revenue was slightly impacted by timing of shipments and continuing supply chain challenges, but we anticipate the revenue from delayed shipping to flow into fiscal 2023 first quarter, and we have seen that in fact happen. We expect Sprout to post revenues in Q1 in the range of $6.8 million to $7.2 million. On the gross margin front, we expect the Sprout margins to continue to build driven by the factors Michael mentioned in his opening remarks. Biodroga, our B2B personal care and beauty brand achieved $13.6 million in revenue compared to $12.1 million in the prior year. We expect Q1 revenue to come in, in the range of $4.2 million to $4.6 million, which will be the highest revenue quarter in 2 years for the Biodroga brand. The improvement in revenue we are experiencing during Q1 is driven primarily by the translation of orders from leads acquired in prior quarters as well as expansion of new product lines. The cannabis segment, which we are in the process of divesting, recorded $7.8 million of revenue for the year. Last year is really not comparable. It was less than $1 million because weâve only been in operation for a quarter. Weâre continually focusing on reducing expenses and several actions we have taken since the end of 2021. Have already cut costs very significantly throughout the business. For example, in January, we brought all our legal services in-house reducing our overall corporate spend. Subsequently, initiatives announced in June build upon these measures to cut expenses further. The intended divestment of Neptuneâs cannabis business will greatly simplify our overall structure and enable us to focus on the parts of the business we believe, hold the most potential for profitability and growth. To expedite cost savings, Neptune is winding up its cannabis operations. The divestiture of the cannabis division will achieve a 50% reduction in workforce over 30% reduction in total payroll costs and an estimated annual cost savings of $5.8 million, resulting in significant cost savings and improved operational efficiencies. We also expect to gain further cost reduction from lower corporate overhead costs and professional fees related to the cannabis business. In addition to the financial impact of the cannabis divestiture, weâve also taken further measures to reduce corporate expenses and including reduction in corporate headcount of 16% as well as cutting back on vendors and outside consultants. These measures are expected to achieve a further $1.2 million in cost savings. For the fourth quarter, SG&A expenses net of subsidies were $10.2 million compared to $18.2 million for the same period the prior year, a decrease of $7.6 million or 43%. This is a result of the cost savings and business streamlining measures weâve already implemented over the past 12 months. Our adjusted EBITDA loss during the quarter was $15.2 million, an improvement of $2.6 million versus our adjusted EBITDA loss of $18 million in the year ago period. The improvement in adjusted EBITDA is mainly attributable to our increased revenue and lower expenses year-over-year. On our balance sheet, we ended the year with $8.7 million in cash on hand. Weâve also taken decisive actions to improve the companyâs balance sheet position and ensure we have sufficient working capital to invest in the growth of the business in the near-term, while continuing to drive towards margin expansion and our path to profitability. In June, we announced a $5 million registered direct offering following an $8 million registered direct offering in March. Neptune intends to use the net proceeds from these offerings for working capital and other general corporate purposes. With this bolstered financing, we are better positioned to execute on the recently announced strategic priorities of divesting our cannabis business, focusing on our consumer packaged goods strategy and further accelerating cost savings throughout the company. While we continue to explore additional financing options, including debt to ensure long-term financial stability, the measures taken thus far allow Neptune to meet its funding requirements in the immediate term, for our fiscal 2023 outlook. And in conclusion, weâre seeing strong revenue growth in Q1 in our core areas of food and beverage and personal care and beauty. We expect that trend to continue into fiscal 2023. Weâre laser focused on streamlining our business and reducing expenses to achieve profitability and sustainable growth. For this fiscal year, weâre confident that our steps to raise additional funding, exit the cannabis sector and realign our focus on CPG brands has improved our financial position and best place an opportune to add value for our shareholders. Now Iâll turn the call back over to Michael now. Thank you.
Michael Cammarata: Thank you, Randy. We have made great progress on our strategic priorities of striving touch profitability, reducing costs and continuing to grow. As you know, the last few years have been challenging for Neptune. What we pulled off, we pulled off at a very difficult time to put it mildly. We could not have anticipated in 2019, the market realities we would be presented with, but we took the view that we should continue with our strategy of becoming a CPG company rather than wait because the future we are heading towards looks the same whether weâre prepared for it or not. A future where consumers not only want to choose good for the planet products, a future where they must. In order to be ready for that future, this change was required. Our mission is to become a modern CPG company with products that are not just good for you, but are also good for the planet. Sustainability is a value, not just a sales tool. We think consumers need options that are built with that goal in mind from the ground up. Thatâs why what weâre doing is important. To change from a B2B extraction company to a CPG company in the wake of a global pandemic was even harder than we thought, but ultimately necessary. Finally, we are in a position to see the light at the end of the tunnel. With the completion of our $5 million raise and the announcement of the divestiture of our cannabis business, we are prepared and excited for what our brands can do. We are sad to be exiting our cannabis business. We are so proud of them. But ultimately, they have proven to be too capital intensive for Neptune in a time of macroeconomic uncertainty. The regulatory, legal and insurance pressures they put on our central business is ultimately disadvantageous to our other brands. We look forward to watching Mood Ring and PanHash grow even though they will no longer be part of the Neptune family. All of our actions here are intended to support Neptuneâs path to profitability and position it for growth as a consumer packaged goods company that is prepared for the future where the products we buy are sustainable and healthy for the world we live in. Our products are now available in some of the countryâs largest retail chains. We are also maintaining customersâ relevance by pursuing the right strategic partnerships for co-branded product line and expanded our product offerings in key categories. And we have a new CFO joining the company with a 25-year track record of growing strategically and positioning CPG companies for success. I recognize though that this cannot have been done without the challenges we have gone through, and I appreciate everyone who have got us here, our teams, our brands, our consumers and crucially, our shareholders who I know felt the difficulty of this transition. To everyone who is stuck with us, we thank you, and we look forward to sharing our future with you. Operator, you may now open the lines for questions.
Operator:  And your first question will be from Aaron Grey at Alliance Global Partners. Please go ahead.
Aaron Grey: Hi. Good morning and thank you for the questions. So, first question for me, just on Sprout. Just looking at the non-controlling interest and trying to kind of back in to 4Q for that. It looks like it was about $7.2 million, so then going off of what you then guided for 1Q, the $6.8 billion to $7.2 billion. I just wanted to get some further color in terms of some of the growth you were speaking towards. And I know I might be â there might be something the message of there because you switched from CAD to U.S. dollar now for the 10-K, but I just want to get some further color in terms of how Sprout performed sequentially in 4Q and then how that 1Q guide relative is? So, I will leave you at that first. Thanks.
Randy Weaver: Thanks for the question, Aaron. We are expecting to see continued growth in Q1, Q1 of 2023, we are seeing strong shipments. Itâs always subject to the supply chain challenges we have talked about with shipments and all that, but we are continuing to see that growth. I donât have the numbers at my fingertips I donât have the numbers at my fingertips exactly where we are going to wind up or the preliminaries for the Q1, but we do expect that growth continue throughout the year.
Aaron Grey: Okay. Just to clarify, but you gave preliminary , I believe you said of 7.2% for Sprout, correct?
Randy Weaver: Yes, I believe thatâs correct, yes.
Aaron Grey: Thatâs what we just said, I believe in the first. So, I was just trying to figure out what that compares to 4Q, I guess. Because you donât â I didnât have a hard 4Q number, yes.
Randy Weaver: Yes. Let me see if I can look that up.
Aaron Grey: I am going to follow-up later, that will be fine. Yes.
Randy Weaver: Yes. Okay. That would preferable. But I donât have the Q4 number at my fingertips at the moment.
Aaron Grey: Okay. Fantastic. Secondly, for Sprout, and on the profitability, right? So, thanks for that target, I think you said 24% by 4Q. Just more on the near-term, can you talk about where Sprout kind of stood today for the fourth quarter, at least on the gross profit? Again, looking at the non-controlling, it does look like gross profit loss worsened for the fourth quarter relative to nine months prior, again, doing some translation here from CAD to USD. But I wanted to know in terms of whether something on the timing of increased cost due to inflation that had a near-term impact. And whether or not you still see some of that â when do we start seeing a gradual improvement to get to that 20%, 24% for 4Q, or is there being more of a big uptick maybe in the third or fourth quarter to where we get there? Thank you.
Randy Weaver: I think you are going to continue to see gradual improvement. There is not going to be huge changes automatically. And part of the challenges that we are having, we put some price changes through â some price increases through. We are not getting the full impact of those yet even in â fully in Q1, but you will continue to see the impact of those as we get through fiscal 2023. And you will see the continuing benefit of some of the new products that Michael mentioned during his remarks.
Aaron Grey: Okay, great. Thanks. And last one for Sprout, maybe more for Michael a question here. Can you talk about some of the strategies and obviously, you had a lot of top line initiatives with the CoComelon and Sprout partnership and now you are moving into the toddler meals. So, just kind of high level, how do you think about kind of focusing on those kind of few key SKUs, especially as you are doing the broader distribution and then also adding on these new product lines, we are seeing now for the toddler meals and a couple of months ago well for the snack bar. So, how do you kind of juxtapose the two between deepening self-existing SKUs and then also adding on new SKUs, especially during a time where liquidity is something you also need to consider in terms of the cost to add on new product lines. Thank you.
Michael Cammarata: Yes. So, I think when we are looking at like the toddler meals we have been having in the market and had great results already against Gerber and others. We are going to be entering the up-aged meals, which is a $3.6 billion market. And that will actually expand our margins because the gross profit margin profile in that category is much higher. When you look at â like if you look at some of the retailers, there is about 50% of the offerings and some of them are organic when it comes to babies meals. Itâs even less. When you go from baby food to baby meal, the up-aged meals, like for instance, up-age meals, itâs in one category had like 10% organic offering. So, we feel that going into up-age meals is a huge opportunity for us to win at grocery to be able to expand. When it comes to our supply chain, we have simplified it in Sprouts. So, we have won from a lot of different vendors all over the world and ingredients from all of it to a North American supply chain with a handful of co-packers that we have partnered with. And being able to exit the cannabis side of the house has enabled us to get additional support from some of our strategic stakeholders in the Sprouts brand, which will allow us to support that growth and open up additional attritional banking opportunities. So, we do see that going in from baby food to break out of the baby food aisle up-age meals to then eventually into other categories as part of our rollout over the next couple of years. That is time to use our existing footprint and supply chain. At the same time as expand our margin profile. So, while we are taking price increases in the current core SKUs, we are also in some categories with higher margins with less competition in organic. And thatâs going to give us a competitive edge, utilizing the CoComelon branding in some of these categories strategically in partnership with our retailers. So, we kind of have a map as we are walking a brand through its transition and breaking out of the baby aisle and to certain keys while we are expanding the margin. And thatâs something that we have been working on for a while. And we have already thought like in the toddler meals, we have already seen very good success, which is starting to get into the up-age meals, and we will continue to monitor that. And then also as we get the price increases that we have already taken, start hitting the results will also be helpful. And also the uptick in distribution, like in September, we are going to be in 2,500 stores just in the Walmart alone with a special CoComelon promotion.
Aaron Grey: Okay, great. Thank you. And then just kind of last question for me just on the cannabis wind up in sales, just any further color you can give us or you are kind of doing both at once right now. So, in terms of the wind up, what do you think about the timing of that wind up potentially in the legacy inventory you might have? And then any color you might be able to provide in terms of the process on the sale and the timing of that potentially bring on some new capital? Thank you.
Michael Cammarata: Yes, we are actively in it and going through the process now with people. And we are cognizant of trying to move as quickly as possible for all stakeholders to continue to support those brands and on that new footing with new acquisitions.
Aaron Grey: Okay, great. And last one for me, just in terms of the timing of additional capital and different financing options you are considering, you mentioned debt still being considered. I know itâs something that we have talked about previously as well. You recently disclosed in the 10-K in terms of the current balance for to operate the business kind of go forward. So, just can you talk about the timing of that debt financing? And then whether the avenues you might have to look to ensure that you have capital for the business going forward as you are evaluating? Thank you.
Michael Cammarata: Yes. So, obviously, on the Sprouts level, we are into a joint project with Morgan Stanley and the divestiture of cannabis has opened up a lot of potentials there in others. And then when it comes to Biodroga, itâs already profitable. And so when you start taking the overhead needed out of corporate to support the cannabis unit, as we transition out of that, it reduces the cash needs. So, we are definitely very cognizant of that. We have been working with our partners on different levels to be able to accommodate that growth. But we definitely when half the business that we are moving in towards supporting Biodroga, which is already profitable and then Sprouts, which is on a fast track, we definitely are working with our partners, then or getting out of the cannabis side has definitely open the opportunities for us in a more efficient way and allowed us to reduce the corporate and overall burn into an area which is more suitable for us.
Aaron Grey: Alright. Great. Thanks a lot for the color. I will jump in the queue.
Operator: Thank you. And at this time, we have no further questions which concludes todayâs conference. Thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.